Operator: Good day, ladies and gentlemen, and welcome to the Support.com First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Greg Wrenn, General Counsel. Please go ahead.
Gregory J. Wrenn: Thank you, operator. Good afternoon, everyone. Joining me here today are Josh Pickus, our Chief Executive Officer; and Shelly Schaffer, our Chief Financial Officer. Before we begin, I would like to remind everyone that our remarks today will include forward-looking statements about our future financial results and other matters. There are a number of risks and uncertainties that could cause our actual results to differ materially from expectations. These risks are detailed in today's press release and the reports we filed with the SEC, all of which can be found through the Investor Relations page of our website at www.support.com. I would also like to point out that we will present certain non-GAAP information on this call. All numbers presented today are non-GAAP unless otherwise stated. The reconciliation of GAAP to non-GAAP financial measures is included in today's press release and also on our Investor Relations web page. The statements we'll make in this conference call are based on information we know as of today, and we will assume no obligation to update any of these statements. With that, I'll turn it over to our CFO, Shelly Schaffer.
Shelly Schaffer: Thank you, Greg. Total revenue for Q1 was $20.2 million compared to $17.6 million in Q1 of 2012 and $18.9 million in Q4 of 2012. Q1 total revenue was up 15% year-over-year and 7% sequentially. Services revenue continued to grow and we had an uptick in software and other revenue as well. The Q1 revenue mix was 80% -- 81% services and 19% software and other, compared to 78%, 22% mix in Q1 2012 and an 81%, 19% mix in Q4 of 2012. In Q1, 2 customers contributed 10% or more of total revenue. Overall non-GAAP gross margin for the first quarter was 53% compared to 39% in Q1 of 2012 and 53% in Q4 of 2012. Non-GAAP services gross margin was 44% compared to 26% in Q1 2012 and 44% in Q4 of 2012. Non-GAAP software gross margin was 92% compared to 88% in the year ago quarter and 92% in Q4 of 2012. Q1 marked the first quarter of revenue recognition related to the licensing of our Nexus platform. We continue -- we used a standard Software as a Service per user, per month model for these transactions, with licensing fees reported as software and other revenue, and implementation fees reported as services revenue. Total non-GAAP operating expenses for Q1 came in at $7.6 million, a decrease from $9.9 million in Q1 of 2012, but up from $7.1 million in Q4 of 2012. The sequential increase in operating expenses was driven primarily by increased advertising rates related to our ARO product. We continue to monitor advertising rates carefully as they are the principal factor affecting our ability to sell ARO software directly to consumers on a cost-effective basis over time. Non-GAAP operating margin was 15% in Q1 compared to negative 17% in the year ago quarter and a positive 16% in Q4 of 2012. On a non-GAAP basis, income from continuing operations for the first quarter of 2013 was $3.1 million or $0.06 per share compared to a loss of $2.9 million or $0.06 a share in the first quarter of 2012, and income of $2.9 million or positive $0.06 a share in the fourth quarter of 2012. The company has approximately $125.8 million and $84.4 million in gross federal and state losses, respectively. To the extent that we have future taxable income, the company will be subject to alternative minimum taxes in certain tax-paying jurisdictions. However, we do not anticipate remitting meaningful federal or state income taxes for the foreseeable future. Turning now to the balance sheet. Total cash, cash equivalents and investments were $59.5 million at March 31 of this year compared to $56.3 million at the end of Q4 2012, reflecting a net cash increase of $3.2 million during the first quarter. Cash increased notwithstanding the use of $1.8 million to purchase shares of common stock from our CEO upon his exercise of options that were due to expire. DSOs for the quarter were 45 days as compared to 47 days in Q4. At March 31, less than 1% of our outstanding receivables were greater than 90 days old. Deferred revenue was $6.1 million at March 31 compared to $6.7 million at December 31. Please note that our deferred revenue does not reflect amounts related to a majority of our subscription revenue, as we are paid on a monthly subscriber basis and our partners carry the deferred revenue on their books. Total headcount at March 31 was 889, consisting of 165 corporate employees and 724 work-from-home agents. This compares to a December 31 headcount of 877, consisting of 159 corporate employees and 718 work-from-home agents. In addition to our work-from-home agents, we use contract labor in our operations. Looking forward to Q2, we expect the Q2 revenue mix and overall non-GAAP gross margin to be relatively consistent with Q1. As always, non-GAAP gross margin will be determined primarily by where we fall within our revenue range, the services and software mix and service delivery efficiency. We expect total operating expenses for Q2 to be in line with Q1. And with that, I'd like to turn the call over to Josh.
Joshua W. R. Pickus: Thanks, Shelly. Q1 represented a strong beginning to 2013. From a financial perspective, revenue and non-GAAP earnings per share came in towards the high end of our range. Both services and software grew sequentially, gross and operating margins remained strong and our cash balance continued to grow. In total, the quarter demonstrated both continued revenue momentum and sustainability in bottom line performance. From an operating perspective, key services programs continued to grow. In particular, Comcast notched another quarter of sequential revenue growth and Symantec continued the acceleration it began in the second half of last year. In retail, OfficeMax and Office Depot performed strongly. We have worked closely with both retailers since the announcement of their planned merger, and both are focused on achieving their program goals without distraction from the proposed transaction. At OfficeMax, we completed the renewal of our agreement on good terms, extending the partnership through the third quarter of 2014. We also launched OfficeMax On-Call Tech Support, a new services program focused on small business with a national footprint. As we indicated in our last call, Staples declined sequentially and will decline further this quarter as they move their Virus Removal services in-house. Services opportunities with additional partners in communications, retail and other industries continue to progress. Today, we're pleased to announce that we have entered into an agreement with DISH Network to provide premium technology support services to DISH subscribers. We expect this program to launch this summer. Competitively, 2 developments in the pipeline of services opportunities are worthy of note. First, our privately held pure-play competitors are encountering challenges, and this is strengthening our leadership position in the market and adding replacement opportunities to the pipeline. Second, our introduction of a platform license offering appears to be creating additional services opportunities as prospects focused on the platform determined in the course of discussions that they may wish to utilize our workforce for elements of their programs. In software, we released enhanced versions of 2 end-user products. The first, SUPERAntiSpyware for business, augments SUPERAntiSpyware's traditional strength in malware removal and protection with central management capabilities that make it easy to deploy and manage across organizations. The second, Cosmos 3.0, adds touchscreen tablet support and a home network scanner to Cosmos' comprehensive suite of system care features. In terms of our 2013 initiatives, small business sales efforts at key partners progressed. As we've described in prior calls, premium tech support for small business is a large and growing opportunity, with Parks Associates sizing the market at 11 billion in 2012, growing to 19 billion in 2016. Over this period, we believe the market will evolve in much the same fashion as consumer premium support, with branded national players displacing local and regional providers. A key challenge for nationwide providers seeking to penetrate the small business market is perfecting a sales process that works over the phone and the Internet, rather than in person. Our partners have been focused on this issue, expanding the footprint of their internal telesales groups and optimizing the performance of third party sales organizations. We're beginning to see results from their efforts and look forward to further progress throughout this year. Our Software-as-a-Service offering also advanced. As you will recall, we began licensing our Nexus Service Delivery Platform in the second half of last year, following receipt of inquiries from potential customers about licensing this platform for use in their own support organizations. Our platform represents the next generation in assisted support technology. It offers a host of differentiated features, including automatic diagnostic end solutions that improve technical problem-solving ability; continuous access to guided best practice workflows, based on our standard operating procedures; rapid adaptability to changing issues through on-the-fly cloud-based configuration; a unified tool set that eliminates swivel chairing and many valuable program management capabilities. We completed our first platform license with US Tech Support in October and successfully moved the customer into production in January. Today, I'm pleased to announce that we have completed another SaaS agreement and expanded our pipeline of SaaS opportunities. The agreement with Saba Software is for a program in which the IT organization is using the standard operating procedure automation feature of Nexus to simplify key IT processes. This is our first transaction outside premium support, and will serve as a proof-of-concept for delivering value in the employee help desk context. In terms of pipeline, the SaaS pipeline now contains 3 types of opportunities. The first set is in premium tech support, where customers provide fee-based support services with their own labor and need a technology platform to do so. US Tech Support falls into this category, and we expect the lion's share of early wins to be in this area. The next set of opportunities is in traditional external-facing tech support. A customer's experience with technology increasingly defines the overall customer experience, making the quality of technical support more important and leading support organizations to seek modern tool sets designed to handle the long tail of issues that rise in today's heterogeneous network multi-device environment. The third set of opportunities is in internal IT. Saba falls into this category. The internal technology environment is evolving with BYOD, or bring your own device programs, becoming increasingly common. Such environments require the employee help desk to become more flexible and adaptable, creating an opportunity for the next generation of problem resolution technologies, such as our Nexus platform. We've long believed our substantial R&D investment made the Nexus platform a unique and powerful solution, and we're gratified by the response it's receiving in the marketplace. Looking forward to Q2, we note that for the last 3 years, Q2 has been relatively consistent with Q1, as growth in other areas is offset to some degree by retail's slowest quarter. We expect the same this year, especially with the changes at Staples. Overall, we expect revenue of $19.5 million to $20.5 million, and non-GAAP earnings of $0.05 to $0.07 per share. With that, I'll open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Chad Bennett with Craig-Hallum.
Chad M. Bennett: So Josh, can you elaborate a little bit more on the DISH program and opportunity? And I know you indicated -- I think it was launched in the summer time frame. Just give us an idea of how that will roll out. Is it TV subs, or is it Internet subs? And kind of the -- as much color as you can give on that one.
Joshua W. R. Pickus: Chad, at this stage of the program, I need to be pretty limited in what I say. So I can tell you that it's a premium services agreement. It'll launch this summer. It'll cover subs broadly. And I really am not in a position to say more about that until the program's in the marketplace.
Chad M. Bennett: Okay, fair enough. And then on the Saba deal, can you give us a sense for timing and revenue rec on that and size? And then secondly, what did Saba replace or displace by using -- or what will they with -- by using your solution?
Joshua W. R. Pickus: Okay. So on timing, revenue rec, size. So that deal will be recognized the way we're going to recognize our SaaS transactions generally, which is license fees in the software and other lines, and the implementation fees on the services line. Generally, it'll be ratable over the term of the agreement. And we expect these agreements generally to be 1 to 3 years as far as the term goes. I would characterize this deal as on the smaller side of size, but it's very interesting to us because it's the first time we've been able to have the product outside of premium support and in an internal IT organization. I wouldn't characterize this as a replacement because they didn't throw anything out, at least not yet. But what we're doing is we're giving them a way for their support organization to much more efficiently do certain processes that they need to do on a regular basis much more efficiently. And the interest in this deal is that we can really use it as a proof of concept for figuring out exactly how we add value in the internal IT situation. That's related to, but distinct from both traditional external facing support and premium services. And as I mentioned in the prepared remarks, we see opportunities in all areas, and we're excited about this one because it's the first one in internal IT.
Chad M. Bennett: Okay. And then last one for me. Can you update us on where we are in the Comcast bundling pilot and if anything's changed there?
Joshua W. R. Pickus: All right. Sure. Not much to report. No real new information about bundling in that situation in particular. Continue to believe that as the space evolves, you will see more bundling because it's a very effective way of getting this kind of solution to customers. But I don't have any specific updates on that situation.
Chad M. Bennett: Okay. So should we not expect that to start this quarter?
Joshua W. R. Pickus: I think that's a fair assumption.
Chad M. Bennett: Okay, fair enough. And then, Shelly, just a quick question for you. Should we think about cash flow this year basically mirroring operating income? And should we -- and I know you don't like to guide out more than a quarter, but is there any reason why current operating margin levels are not sustainable past the June quarter?
Shelly Schaffer: Let me answer the first one. So we've always said, the best proxy to think about cash flow is all things are collected and all things are spent equally at office. That's basically our P&L earnings, so non-GAAP P&L earnings. There's little exceptions like if we have a payroll period that changes, that we always try to call that up. So that's a good proxy and you're spot on to do that. The second is, there isn't a reason unless we were to give guidance around particular spending that we might do, and the only area we sort of said that we would spend is really around the support and investment and the licensing of the platform and what goes with the infrastructure for that. But as we haven't guided to that, and I said Q1 to Q2 OpEx would be relatively in-line, I think that's fair.
Operator: Our next question comes from Carter Malloy with Stephens.
Carter Malloy: On the small business, Josh, can you expand a little bit there in terms of where we are in the ramps to those partners? I know you guys got a lot of pilots going on. But when should we expect those to materialize and a real drivers for P&L?
Joshua W. R. Pickus: Sure. So let me just start with some facts, and then I'll get into a little bit more color. As I mentioned in the prepared remarks, it's really clear to us that there's a multibillion-dollar opportunity here in small business tech support. All the evidence points to that and all the evidence as we interact with small business customers that we now have confirms that. So we believe that there's really something here and that it's going to be important. The second thing is that in terms of just being clear about where we are in programs, we have Comcast and Time Warner in the market today. We also now, in retail, have OfficeMax in the market. And we expect that in the second half of the year we'll have Rogers small business entering the market. And there may well be others, but that's sort of what we're talking about right now. What I can tell you is that the small business revenues that we and our partners have in this are growing. And if you looked at it on a percentage basis, it actually grew quite nicely. But we're talking about off a small base, and we haven't yet seen the really material ramp that gets us into large small business revenues as we expect will happen. The real issue has been you have to figure out how to sell these services to the end customer in a different way than they've traditionally bought them. Traditionally, it's a 3-meeting, in-person sales cycle. And what our partners are doing is turning that into an online and phone-based sales experience. And that's tricky. The biggest development that's really happening, it's happened in several programs, is that our partners, after a lot of work diving into this, have taken some quite decisive steps around the sales processes. And while I can't give you specific information about specific customers, I can say that they're falling into 2 areas. One is work with their internal small business sales organizations to really enhance their knowledge of this program, demonstrate value to them, provide incentives for them, expand the number of agents allowed to sell these small business tech support services. We believe that's an extremely effective channel because they're on the phone selling anyway, and this is just one more item to add to the bill. So there's been good progress there. The other is, there have been some bumps in terms of who the third party providers are where partners have chosen to use third parties for small business sales, and there have been some changes made and some improvements, and we're excited about the new vendors who are going to assist our partners with that. So I can tell you, small business revenue grew Q4 to Q1. I think it's going to grow Q1 to Q2. I'm not yet prepared to say when it will break out because it really depends on how effective these steps that have been taken with respect to the sales efforts are. And what I am prepared to say is that I'm quite encouraged by the focus on this that our partners have and the tangible steps that they're taking, and it makes me really believe it ain't going to be too long before we really see some traction.
Carter Malloy: Okay. And then, on the renewal you guys had in the quarter, any meaningful changes in the economics of that?
Joshua W. R. Pickus: Not any material changes. Close -- very close to what we had before.
Carter Malloy: Okay. And then, Shelly, on the sequential guide you guys gave, given the ramp of the new customer, does the revenue mix change at all, or are we still looking at 80%-20%, 81%-19%, something like that?
Shelly Schaffer: Yes, we've said it's pretty much in that same area.
Operator: Our next question comes from Mike Latimore with Northland Capital.
Michael Latimore: On Comcast, I think, certainly, you've talked about that company growing on a double-digit percent sequentially. Would it serve in that same ballpark this time?
Joshua W. R. Pickus: Comcast continued to grow very nicely Q4 to Q1. I want to be respectful of my partner's information and not get too detailed, but Comcast grew very nicely from Q4 to Q1. I can say that comfortably without giving any specific numbers.
Michael Latimore: Great. And then, let's say, the OfficeMax, Office Depot merger goes through, what does that mean for the OfficeMax contract you just signed, I guess?
Joshua W. R. Pickus: I'm sorry, what does that mean for what, Mike? I couldn't hear the last part.
Michael Latimore: The new OfficeMax contract, does anything change with regard to that?
Joshua W. R. Pickus: No. I think the way it would work, assuming the merger is completed, is that the OfficeMax contract, which goes through 2014 third quarter, that contract is there, and it continues to last and we'd expect to operate under it. So I wouldn't anticipate changes there.
Michael Latimore: And then what about the status of the Office Depot on -- just want to...
Joshua W. R. Pickus: The Office Depot contract is currently in an auto-renewal period where it goes into 2014 based on auto renewal. Obviously, when that deal is done, at some point there's going to be some discussions about how we combine the programs. I actually think the contract is the least important feature there. I think it's really a question of how the combined entity will leverage the footprint and the strengths in both organizations to really get further momentum behind the program. So the contract, at some point, will need to be attended to. I think it'd be a more complex situation if there were different vendors and one needed to be selected, but we're doing both programs. I think we're doing a good job for the partners. And whenever that happens, and my thinking is that you probably won't see that transaction completed till the end of this year, early next year just because these things take a while, that there's really going to be a lot of business conversations about how we drive the business forward and grow it at an accelerated rate.
Michael Latimore: That's great. And then how many SaaS deal prospects do you have, say, in the premium tech support category at this point?
Joshua W. R. Pickus: Well, we're having a SaaS-y year, and I'm feeling pretty optimistic about that. I would say that the pipeline's grown a lot since we've talked about it. I'm willing to now say that it's in double digits and I'm not really going to go anymore specifically than that. But it's just a very interesting experience, in some expected ways and in some unexpected ways. It's as if we you went on a new diet, like a gluten-free diet, and you get healthy, but something else happens that you weren't really expecting. So what we've expected was that we would find people interested in the quality of this platform, and that's true. We have very interesting people coming out of the woodwork and coming into the website and saying, "We're interested in the platform." The other piece, though, that I mentioned a bit in the prepared remarks but I want to highlight here is that we have people who come in because they're aware that there's a platform, and as we have conversations, it becomes apparent that actually maybe they need a full turnkey program or maybe they need a mix. And I believe those are prospects we never would have had access to if the platform weren't available, but it's not always going to lean to a pure platform deal. In some case, it'll pure platform; in some case, it'll be mixed; in some case, it'll be full on turnkey solutions. And that's a bit of this experience that we hadn't expected and is a very pleasant surprise.
Michael Latimore: Are those full turnkey solutions, maybe it doesn't appeal to some of your current retail customers. Do they tend to be smaller ones? Do you see any of that evident?
Joshua W. R. Pickus: What I see about the pipeline is it's got communications providers in it, it's got retailers in it, it's got a bunch of prospects that I'd put in the other category, not either one of those. And in terms of size, I would say it ranges from fairly modest to very, very large. I'm very mindful of that in terms of creating a large revenue impact, doing a seven-figure deal is a fabulous thing, and there are absolutely seven-figure deals in the pipeline. But if you look at the really successful SaaS companies, whether it's Salesforce or NetSuite or RightNow or Taleo or any of these other ones, they really ended up with some of those deals and a lot of other deals. And so at this stage, I'm very interested in these deals, even when they're not seven-figure deals because they're teaching us about what the market needs. As I mentioned earlier, with the Saba transaction, not a large transaction, but our first entry into internal IT, which potentially could be a very, very large opportunity for us. So I love a big deal, but at this stage of the game, I'm also interested just in getting the product into a bunch of different environments so we can see how best it can create value for customers.
Michael Latimore: All right. That makes sense. I guess, last one. You are more encouraged about Symantec. Can you maybe give us a little more color on what you're seeing at -- with the Symantec relationship?
Joshua W. R. Pickus: Yes. It's just the volumes are higher. There's more calls coming in and that's leading to more orders. And I think Symantec is looking hard at this program because they see a big opportunity, and they're trying to figure out how they need to tweak it and change it to really realize the full potential of it. And we agree with them. We think there's a lot of opportunity here and well beyond the size that, that program currently is. So we're working on that. And it's been encouraging for the last, say, 3 quarters.
Operator: Our next question comes from Kevin Liu with B Riley.
Kevin Liu: First question, just on the OfficeMax negotiation, I was curious as to whether there are any sort of pricing changes that are built into the contract over the time frame between now and when it expires?
Joshua W. R. Pickus: Nothing material now.
Kevin Liu: Got it. And then on the Staples front, are your expectations, in terms of kind of the sequential thought about there still consistent with what you articulated last quarter?
Joshua W. R. Pickus: Yes, they're in the same neck of the woods. It -- as we've said last time, it would decline Q4 to Q1, it would further decline Q1 to Q2 and we still think that it's in the order of magnitude that we talked about. I mean, there's no way to beat around the bush about that. That was a very significant customer of ours. As a result of their utilizing the workforce that they already had and really trying to make sure they get as much utilization from that cost base as they can, that's going to get a lot smaller. I do -- we do continue to do certain attached services, certain mobile services for them. And I think we have opportunities in areas like SMB and potentially in some software areas, end-user software here, I'm talking about. So we've got to work through that and flush that through the P&L and there are challenges there. But it's pretty much as we expected and relations continue to be good and I continue to be hopeful that there are ways to do different things for them that would be a value to the Staples organization.
Kevin Liu: Got it. And you guys had an 8-K filing in the quarter just with another Comcast minutes [ph]. It sounded like that just amended an existing date for a pricing discussion, but I just wanted to clarify that and see if there was -- what your thoughts were around how the economics of this program could potentially change?
Joshua W. R. Pickus: Yes. That was an amendment to the SMB agreement. And I'll explain the provision, then I'll explain the change. Whenever we do a deal with a customer where we're doing something new, like, in this case, when we did the SMB agreement, we have a very elaborate set of usage models that we create to do our pricing. Because our pricing is based in many respects on usage. And the partner has those models as well. And what we always try to get into a contract is a provision that after a certain amount of time, if one or the other of us was really wrong about usage, that we have an opportunity to sit down and discuss that because we don't want  to be in a situation where if we were wrong and doing something new, it becomes very financially painful. So that's the provision that's in that contract. We think it's an important provision for our protection. And all we did the here was, say, "Okay, provision is going to remain in force, but we'll leave that open for another several quarters until we've got a larger subscriber base. And we had just to have more information. I mean, so far, the program's kind of beginning the way consumer began. It's always a little messy at first and it's not terribly efficient, and then it gets better. And I'm quite hopeful that in the end, it'll look very much like our models and there won't be any need to do anything. But just out of prudence, we wanted to make sure that, that right remained for a couple more quarters till we get a larger subscriber base. So that's what that was and nothing more than that.
Kevin Liu: I appreciate the commentary on that. And then, Shelly, I apologize, but I missed the work-from-home agent count within the total headcount. I was hoping you could provide that.
Shelly Schaffer: For the quarter, it was -- the total headcount was 889, 165 corporate and 724 work-from-home.
Kevin Liu: Got it. And as you guys start to ramp some of these programs in Q2 and then also real close to the summer, any sense for what you anticipate doing with that work-from-home headcount?
Joshua W. R. Pickus: Well, I'll say generally, we do think it'll grow. I'm not going to go more than that because the size of the headcount is really dependent on 2 things: how much demand is there and how efficient are we. And as you've seen, we continue to drive efficiencies. And so it's clear to me that we're going need to do some adding. But how much? TBD.
Kevin Liu: Great. And just one last one, you guys have done a good job holding the expenses relatively steady. You have talked a little bit about investing more on the R&D side, especially as you drive more SaaS business. I'm just curious as to whether you anticipate maybe be making some incremental investments beyond Q2?
Joshua W. R. Pickus: I think there is an absolute possibility that we will make incremental investments. And could be in SaaS, but could be in some other areas as well. There are a number of parts of the business that I think have significant growth opportunities. SMB would be another one, and the ability to  deliver some new solutions there, maybe of the cloud-based variety, not just a general help desk type of offering is very interesting to me. So I think it's fair to say that we're in a stage in the business that where our very disciplined planning process says that there's a terrific growth opportunity that's likely to have a really good return, that we would make those investments because we think that ultimately creates more value for shareholders. But I'd also say that we're not a management team that is fond of flinging money at the wall in the hopes that something magical will happen. And so it's a disciplined process and in the area you mentioned, but also other areas...
Shelly Schaffer: Also marketing.
Joshua W. R. Pickus: Yes, you could see further investment an  in-heightened investment later in the year. But I'm not going to say that's going to happen until I feel like I really know where the dollars are going to go, and I'm really comfortable that I can tell you it's going to produce an attractive return.
Operator: [Operator Instructions] Our next question comes from Nick Farwell with Arbor Group.
Nick Farwell: Your comment about capital allocation, you made a reference to 2 private companies that, perhaps, are under some economic pressure. Now to what degree do either of the 2 offer you an opportunity to purchase either for scale or other such purposes? Can you comment on that?
Joshua W. R. Pickus: Sure. I don't think I mentioned any particular private companies, and I certainly want to keep those [indiscernible] generally. But no worries. There is a lot of activity in the space. And I think you're just asking generally what about consolidation. And what I'd say about that is, there's opportunities absolutely exist and they appear to exist this year. And really, it's a function of what does any individual company bring to us, and what's the cost of those assets that we might acquire. And that's a very case-by-case basis that we look at. We do look at those opportunities seriously because they could be potentially valuable to creating shareholder returns, but that doesn't mean you do them unless they're the right deal. And so I can tell you, we are evaluating, but we're evaluating with the typical discipline that we use for M&A.
Nick Farwell: Shelly, could you comment on the cash flow for the quarter? You mentioned that cash obviously increased, or it was in the press release, $3.2 million, the $1.8 million for the share repurchase. What about working capital CapEx, or if there is any other usage of capital?
Shelly Schaffer: No. I mean, we basically have cash flow from operations. We don't -- we're not very capital-intensive. If we were going to spend  something, then we would call it out. We have -- in some quarters, we'll have proceeds from exercising and stock options. And then, in this particular quarter, which we with previously announced, we used $1.8 million above and beyond the $3.2 million we have in the quarter.
Nick Farwell: Correct. I understand. Was there anything else other than that $5 million that was notable in terms of cash usage, that's what I'm asking?
Shelly Schaffer: No.
Nick Farwell: Okay. So working capital and CapEx are so modest, it really doesn't have any significant influence. It's really just share options.
Shelly Schaffer: Yes. And again, unless we otherwise note something, if we invested in telecom or hosting or anything like that, but we would call it out.
Nick Farwell: All right, okay. And then, in terms of the share repurchases, is that a one-off transaction? Is there an authorization? Is there something....
Shelly Schaffer: It was something -- in one particular instance, it was for some expiring options that Josh had for the company. It was good on a number of fronts. The net price we paid, due to the difference between the stock price and the -- the stock price and the chart price at the time, we paid about $1.8 million to acquire 1 million shares. So -- and that was done one time and we indicated that, I think, and there's an 8-K filing with more detail on this.
Nick Farwell: Yes, I saw that. I was just curious. And either you or Josh, could you perhaps spell the name of the -- or pronounce in such a way I can spell the [indiscernible] of the company. Is it Solvis [ph]?
Joshua W. R. Pickus: Which company are you referring to?
Nick Farwell: You said for internal ID, you...
Joshua W. R. Pickus: Oh, oh sure. That company is called Saba, S-A-B-A.
Nick Farwell: Saba. I'm sorry. I missed that. Okay.
Operator: I'm not showing any other questions in the queue. I'd like to turn it back over to the CEO, Josh Pickus, for closing comments.
Joshua W. R. Pickus: All right. We appreciate your participation today. We look forward to talking to you as we go through the quarter. We'll be at several investment conferences, and we hope to see you there. So thanks very much for your time today.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference. You may now disconnect. Good day.